Operator: Good day, and welcome to the Vail Resorts’ First Quarter and Fiscal 2016 Earnings Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Rob Katz, Chief Executive Officer. Please go ahead, sir.
Robert Katz: Thank you. Good morning, everyone. Welcome to our fiscal first quarter 2016 earnings conference call. Joining me on the call this morning is Michael Barkin, our Chief Financial Officer. Before we start, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties as described in our SEC filings and actual future results may vary materially. Forward-looking statements in the press release that we issued this morning, along with our remarks today are made as of today, December 07, 2015. We undertake no duty to update them as actual events unfold. Today’s remarks also include certain non-GAAP financial measures. A reconciliation of these measures is provided in the tables included with our press release and in our quarterly report on Form 10-Q filed this morning with the Securities and Exchange Commission and is also available on the Investor Relations section of our website at www.vailresorts.com. So, with that said, let’s turn to our first quarter fiscal 2016 results. We are very pleased with our results in our first fiscal quarter with strong summer visitation to our U.S. mountain resorts driving increases in all of our key lines of business bolstered by the investments we have made in new summer activities. Our results this summer continue to give us confidence in the long term potential of our Epic Discovery programs at Vail, Breckenridge and Heavenly and we look forward to benefit next summer from the new mountain coasters and canopy tours at both Vail and Heavenly. Additionally, we are very pleased with the results on Perisher's first season under our ownership. Perisher's results exceeded the expectations we had when we completed the acquisition due to strong visitation in part driven by the success of our season pass sales following the announcement of our transaction and strong yield growth. While our first fiscal quarter continues to operate at a loss, the addition of Perisher has significantly improved the profitability of our business during this period when our U.S. Based mountain resorts are not open for winter operations. Our lodging results for the fiscal quarter were also very encouraging with both occupancy and rate increases compared to the prior year, in particular, our properties at Grand Teton Lodge Company experienced strong visitation and spending as the park reached near record visitation levels this summer. The results at Grand Teton Lodge Company highlight the strong demand we are seeing for travel spending in the Western United States. Turning now to our 2015-2016 season pass sales for our U.S. resorts and early season indicators. Our sales of season passes continued to deliver outstanding results. As we approached the end of our selling period season pass sales are up approximately 13% in units and 19% in sales dollars through December 05, 2015 compared to the prior year ending December 06, 2014, excluding Perisher Freedom Pass and Epic Australia Pass sales in both periods. We are seeing very solid growth in our Colorado and Utah markets which benefit from the value of the pass and the strong underlying economies in both areas. Results in Northern California are in line with unit sales last year a result that continues to validate the customer loyalty and value proposition that our pass products offer. While recent snowfall certainty aided final pass sales in Northern California we had seen relatively strong results in the market all year long. Our strongest overall results are being driven by sales to destination guests who were responsible for more than three quarters of our total growth and now represent approximately 44% of our total pass-holders. To see such strong growth in this area on top of the strong growth we saw last year is particularly heartening and speak to the opportunity we have to continue to deepen our penetration of season passes in these critical geographies. Further, for the 2015-2016 season, we expect to sell over 500,000 season passes including all of our pass products from around the world which is an incredible accomplishment that speaks to the loyalty and engagement our company has created with our guests. As we head into the season in the U.S. we are seeing lodging bookings across our resorts largely trending ahead of this time last year. Consistent with our last update, international bookings are soft, particularly from Canada, the UK and Brazil given the strong U.S. dollar. These trends are more than offset by strength in domestic bookings and we don't expect currently challenges to have a material impact on our results relative to our guidance. Australia is currently our best performing international market and we are seeing a number of signs that our acquisition of Perisher will allow us to outperform broader industry trends. Based on historical averages, less than 50% of the bookings for the winter season have been made by this time. Now I would like to turn the call over to Michael to further discuss our financial results and our fiscal 2016 outlook.
Michael Barkin: Thanks, Rob and good morning everyone. Before discussing our results and fiscal 2016 guidance I want to remind you that you can find the full discussion of our financial results for our first quarter of fiscal 2016 ended October 31, 2015 in our quarterly report on Form 10-Q which we filed this morning with the Securities and Exchange Commission. Our Form 10-Q and our earnings announcement can be found on our website at www.vailresorts.com. For the first fiscal quarter resort net revenue was $165.2 million an increase of 39% compared to the prior year quarter. Resort reported EBITDA improved by $24 million to a loss of $46.5 million compared to the prior year period. Excluding the non-cash gain on the Park City litigation settlement recorded in the first quarter of fiscal 2015. The significant grow in revenue and EBITDA was primarily driven by the addition of Perisher which had a strong second half of its season and growth our summer visitation at our U.S. resorts and lodging results particularly at our Teton properties. We continue to see positive momentum in our resort real estate markets. In the first fiscal quarter we closed on sales of two units at Ritz-Carlton Residences, Vail and two units at One Ski Hill Place, as well as the sale of a land parcel near Beaver Creek for $2.9 million. Real estate reported EBITDA was $1.2 million for the first fiscal quarter as compared to a loss of $2.2 million in the first fiscal quarter of last year. For the quarter net real estate cash flow totaled $10 million. Finally, net loss attributable to Vail Resorts was $59.6 million or $1.63 per diluted share for the first quarter of fiscal 2016. Our balance sheet remains very strong. We ended the quarter with $39.6 million of cash on hand and $197.5 million of borrowings under the revolver portion of our senior credit facility primarily as a result of funding the Perisher acquisition. Our net debt, including our capitalize Canyons lease obligation was 2.1 times trailing 12 months total reported EBITDA. Given our first quarter results and the indicators we are seeing for the upcoming season, we are even more confident in our outlook for fiscal 2016. That said, the ski season has just begun at our U.S. Resorts with our primary earning period still in front of us and we are reiterating our resort reported EBITDA guidance for fiscal 2016 that was included in our September earnings release. I'll now turn the call back over to Rob.
Robert Katz: Thanks Michael. Given our strong and improving financial position, robust operating cash flow generation and confidence in the future growth of our business we will continue to be more aggressive in returning capital to our shareholders while continuing to reinvest in our business. Towards this end in addition to our quarterly cash dividend during the quarter we repurchased 377,830 shares of our common stock at a weighted average price of $105.85 per share requiring total funding of $40 million. In addition, our Board of Directors have increased our authorization per share repurchases by 1.5 million shares to approximately 2.2 million shares and we intend to maintain an opportunistic but a methodical approach to share repurchases. I'm also very pleased to announce that our Board of Directors has declared a quarterly cash dividend of Vail Resorts common stock. The quarterly dividend will be $0.6225 per share of common stock and will be payable on January 12, 2016 to shareholders of record on December 28, 2015. We believe that a combination of quarterly dividend and share repurchases will be an effective strategy to return capital to our investors while maintaining the flexibility to continue investing in the strategic and internal growth of our business. Reinvesting in our resorts is a core part of our strategy to deliver an exceptional experience to our guests. This year we have a number of great improvements that our guests will enjoy in the coming season. First, we are excited to officially open the new Park City which is now the largest ski resort in the United States. Our $50 million investment to combine and transform Park City and Canyons is complete including the new Quicksilver Gondola, upgraded King Con and Motherlode chairlifts and new and improved dining facilities with the addition of the 500 seat Miners Camp restaurant at the base of the Quicksilver Gondola, the 250 seat expansion of the Red Pine Lodge and the renovated Summit House. Together, these improvements will dramatically improve the guest experience this season and for years to come. In addition to the transformation of Park City we have also upgraded the Avanti chairlift at Vail Mountain with a new high-speed six passenger chairlift to increase lift capacity by 30% at an important mid mountain location. We are excited to announce that we have submitted the latest version of EpicMix to the Apple iStore [ph] and look forward to making it available to our guests. This new version will include EpicMix Time which will provide lift line wait times at all of our lifts at our Colorado resorts. This is another groundbreaking innovation for the industry which will utilize the latest crowd sourcing technology to dramatically improve the guest experience giving skiers and riders more transparency and choice during their ski day. Our commitment to reinvesting in our resorts will continue in the year ahead. We are pleased to announce two signature projects that we intend to construct in 2016 for the 2016-2017 ski season that will enhance the guest experience and generate strong returns for our shareholders. The first project is the addition of a new 500 seat restaurant at the top of the Peak 7 chairlift at Breckenridge. Already one of the most popular resorts in North America the new restaurant will dramatically improve the dining experience on the mountain, particularly given its location directly adjacent to our new Peak 6 terrain. The second project is the upgrade of the Sun Up lift or Chair 17 at Vail Mountain, from a fixed grip triple to a high-speed four-passenger chairlift. This new chairlift will significantly improve the ski experience in Sun Up Bowl and quickly move skiers and riders to and from the Back Bowls and Blue Sky Basin. With this new addition, every major chairlift on Vail Mountain will be a high-speed chairlift. Both of these projects are subject to regulatory approvals. We expect our total resort capital plan for calendar 2016, including these two projects, but excluding investments in summer activities, will total approximately $100 million which is consistent with our long-term capital guidance. We plan to provide our complete capital plan for calendar year 2016 on our next earnings call in March. As we wrap up, I'm pleased to report that the season is off to a strong start with all of our resorts open. Early-season conditions in Colorado have been outstanding with great skiing conditions over the Thanksgiving holiday. Utah has also experienced good early season conditions and I'm happy to report that conditions in Tahoe are the best we've seen at this point in the season than the last several years. In fact, we were able to open Heavenly and Northstar earlier than originally planned given the strong conditions and have enjoyed welcoming our guests to experience the great conditions and terrain in Tahoe. Our attention to service and our commitment to delivering outstanding guest experience will continue to be the hallmarks of our company and the focus of our efforts. I would like to thank all of our employees for their passion, hard-working commitment to our organization which as always lies at the center our success. Through the past year we have made a number of significant announcements and changes to continue to provide an experience of a lifetime for our employees which is how we provide an experience of a lifetime to our guests. Whether related to a minimum wage, other improvements to compensation and benefits, affordable housing or funding educational or family needs, our company will always be focused on improving the employee experience which is a core part of how we drive our financial results. At this time, Michael and I would be happy to answer your questions. Operator, we are now ready for questions.
Shaun Kelley: Hey guys, good morning. I just wanted to start with sort of the seasonal loss and how strong the results were and your ability to sort of mitigate that. So probably two different areas, but I was wondering first of all on Perisher if you could give us a little color on did you kind of experience everything and more that you though you would get out of this quarter, so how results from that Mountain relative to expectation? And then more importantly for next year is there do you think there is still more room to improve on what you guys were able to do and having it in for full-year?
Robert Katz: I think just given where we purchased it I think the bigger impact was obviously in the first fiscal quarter. I think there is certainly opportunity to continue to improve there. You know, that said, and we also obviously this quarter saw a big jump. So I think we were able to drive. I think with our season pass sales being so strong when we acquired the resort I think we were able to drive obviously a big piece of I think the improvement that were hoping for. That said, obviously the big driver for Perisher is Australian visits into the United States and again on that front Australian is fully outperforming our other major international markets. So we're seeing kind of the benefit in both places right now. But I think as we go forward, I think that the winner in Australia was I'd say relatively soft at the beginning and then picked up steam at the end but certainly was not a record by any stretch and so I think we feel comfortable and continue to being able to drive growth there.
Shaun Kelley: Great and then the other question I guess here the contributor to the quarter tends to be the summer activities. So I think you guys had a few features open at Vail this year, but really next year is the kind of the key hers, so the two part question there is, number one, was there any material contribution to earnings or EBITDA this year? And number two, everything generally on track for the underwriting that you sort of already given for next year's openings?
Robert Katz: Yes, I would say that yes, the summer activities absolutely did contribute both in terms of the revenue from the activities themselves and just as importantly the increased visitation, gondola rides, F&B, retail, other things that we saw up on the mountain. So I mean essentially increased visitation. So both of those did show up this year and we absolutely feel quite confident in the expectations we have for next year. I think what we're seeing is tremendous enthusiasm from our guests to be able to have this experience up on the mountain and the ability to add the coasters, the mountain coasters, one at Vail and one in Heavenly. We know those – that's a big driver at Breckenridge and we think those will both be big drivers at Vail and at Heavenly and I think the canopy tours which will be also at Vail and at Heavenly are literally some of the most spectacular scenic canopy tours, I think that exists certainly anywhere in the mountains and so we're confident that that will drive return to profitability and more visitations.
Shaun Kelley: Perfect, great quarter, thanks guys.
Operator: We'll take our next question from Felicia Hendrix with Barclays.
Felicia Hendrix: Thank you and good morning. Just moving on to Utah, I was wondering if you could disclose some more early season indicators for Utah specifically, the forward books in Utah combined ahead of what the Mountain State individually last year and also do you think you are gaining market from the Valley?
Robert Katz: So I guess Felicia, yes, I mean I guess I'd reiterate earlier what we already said which is that our bookings are largely all across our resorts. I would say we're very pleased with everything that we've seen so far in Utah and also I think I'd have to say though it is too early to make any broad conclusions certainly about any kind of market share. And you know and I think it obviously we only have a relatively small percentage of the bookings there. So in the end I think we're going to have to see how the season plays out. But at the moment, I would say the enthusiasm, the energy, the excitement, the media coverage we certainly have had so far from the opening, the impact on pass sales, the bookings, all of that combined we remain very confident in what we will be able to deliver, but too early to kind of give a historical perspective.
Felicia Hendrix: Great, okay I will look forward to updates throughout the ski season on that. And then just last week you announced the $30 million program to help construct employee housing over the next several years. Just wondering, could you talk about the availability of labor at your resorts and overall cost increases you might be expecting with regards to labor, especially given how competitive the resort industry is right now and the overall growth of your resort locations?
Robert Katz: Sure, I think ensuring that we have enough, ensuring that we are providing the right employee experience, attracting enough of the right labor, retaining labor and then a part of that is obviously being able to have housing for everyone that works here, I think it is probably our number one concern right now in terms of ensuring that we can continue to drive success. And so, I mean that's led us over the last couple of years to continue to invest to make sure that we can do that. I'd say where we feel right now is that our markets are tight. We think it is a challenge. We also feel good that we'll be able to deliver the right experience and the right results for this year despite that. But we do feel it will require continued investments in wages, in benefits, in housing, all of those things and we think we can do that and continue to drive and meet our financial expectations.
Felicia Hendrix: Okay great, thank you so much.
Operator: We will take our next question from Joel Simkins with Credit Suisse
Benjamin Chaiken: Hey guys, it is Ben on for Joel. Operating under the assumption that international destination guests are generally not buying season passes, can you give us a sense of the data points you are using to calculate the expected impact from FX on this customer or lack thereof?
Robert Katz: Yes, what I would say is we – so obviously season passes is one component, another component is their bookings into our owned and operated lodging and then I would say top of that is really more anecdotal dialogue with travel wholesalers, with other lodging properties across our resorts. And I would say we kind of amalgamate all of that to try and create a picture. But you are right, we don’t have a perfect window into the international guests, but we feel like our commentary that overall bookings are soft, I think it is not hard to get to given some of the dynamics that we're seeing. I think we also feel like based on all the metrics that we're seeing that we know that Australia is outperforming and we know that Brazil, Canada, the UK are all some of the tougher ones because of the currency.
Benjamin Chaiken: Got it, that's helpful. I'm pretty sure that season pass window is closed, but just based on your comments regarding Tahoe and opportunities to specifically market the pass to the California market hoping to back up assuming this customer may have been waiting this year to see how the weather played out?
Robert Katz: Yes, that's not something I mean technically speaking, I guess we could, but that's not something we're going to do. We feel like one of the critical components of our season pass is that it is purchase largely before the season began and so I think for folks in Tahoe obviously I think in that case they have had good conditions now for quite a bit of time. Our marketing team has absolutely been out there creating a dialogue with each and every side show across the Northern California market might be interested in skiing and so we do like, we've given people the opportunity and it is one of the reasons why we were able to drive the business at the end of the way we did and then ultimately obviously we’ll still create all kinds of packages and promotions for people to come up, but I think this is now where we turn our attention to our daily lift tickets and multi day lift tickets and really start to push those.
Benjamin Chaiken: Got it. That’s all from me. Thanks a lot.
Robert Katz: Thanks.
Operator: We’ll take our next question from Scott Hamann with KeyBanc Capital Markets.
Scott Hamann: I just got a following up on the international question, can you give a little more detail on what you’re seeing in softness is it shortening of trips planned or is it just that they are cancelling trips all together and then dovetailing on that is there a strategy that’s even employed either through marketing or something else to try to bring these higher value, people into the system even if that costs you a little bit of money to do that?
Robert Katz: I would say yes, right at this point the only information we would really have would be on these kind of broader booking trends. I don’t think at this point we have enough information to talk about length of stay. Obviously, we look at international markets in the same way that we look at all of our markets. So we’ll look at New York and Houston and Dallas and Chicago, LA, San Francisco and Mexico and Brazil and so we’ve got efforts going on in every single markets are trying to drive that business. And the good news is, overall we’re seeing positive booking trends, but some markets are better, some markets are not, even within the international contingent that’s true. What I would say as we remain aggressive in all of these markets and obviously take a long term approach to developing our guest connections there, that said we’re not going to and you know there is some currency dynamics that, that we have to live with sometimes they go for us, sometimes ago against us, but we’re going to be thoughtful I would say within that. And we’re not focused on any one particular market kind of to the exclusion of the rest of the market, our focus is driving the business as a whole.
Scott Hamann: Okay and then just a follow up on the capital deployment a little bit of a shift more focused on dividend around buyback. I know that you've had that program in place for while, but the dividend seemed like it has focused with all the other capital going on. How should we think about the way that you’re going to balance some of these priorities going forward and then how does that play into potential M&A? Is this going to be kind of a consistent buyback and does this mean there is less M&A or what’s the plan there? Thanks.
Robert Katz: Yes, I would say, our priority has been and will always be focusing on reinvesting in the business and we’re going to ensure that we’re constantly making the right upgrades to the business and that includes investments at our existing resorts. It also includes acquiring new resorts and we do not, we will not, are not pulling back at all on our aggressiveness in those areas. We feel like the success of the business allows us to also return capital to shareholders and I think we feel like we can use kind of all the tools available to us which includes both dividends and buybacks and yes we intend to I would say - I wouldn’t use the word consistent per se as if that is every quarter it is a given, because we are going to remain opportunistic on the buyback, but I would say more methodical and probably yes it’s a slight shift from may be where we were, slightly leaning more forward into it, but obviously still the board will be looking at the stock price and value and making decisions quarter-by-quarter.
Operator: We’ll take our next question from Afua Ahwoi with Goldman Sachs.
Afua Ahwoi: Thank you. Good morning guys. Just a few questions from me. First, on the new season pass sales how many if you were able to provide, how many are in Park City market and is there any way we can extrapolate what that means for efficient growth in that market? And then the second question on the season pass growth on the destination visit is making up bigger and bigger chunk of that, that’s is there any reason - are you marketing them differently, are they staying longer or is it that you’re adding more sort of destination like resorts such as [indiscernible]? And then the final one just following up on that last question just for modeling purposes is there any number we can think about how many, how much stock you will buyback may be add a minimum each quarter or is it truly going to be opportunistic? Thank you.
Robert Katz: Sure, so what I would tell you is on the season pass piece it is not - we don’t have, any major pass product that is Utah only. So it’s not possible for us to necessarily look at kind of either based on season passes, how many visits we think will come to Park City. We feel like there is no doubt in our minds just from watching the trends though that Park City, the addition of Park City has been a nice boost to those efforts. So we feel good about how that will drive visits to the town, to the city and all of our properties obviously there in terms of both F&B, retail. So we feel like we’re in a good spot to start but again a little too early to make any kind of clear analytical connections between season passes and exactly how strong skier visits will be there. In terms of destination visits, obviously this is something that we’ve been driving now for a number of years. I think that what’s great is that we’re compounding strong growth on strong growth. So even on a larger base, we’re still being able to drive season pass sales and I would say it’s really about we’re penetrating these destination markets where sales of season passes represent a relatively still low fraction of the total amount of skiers in that market even the skiers who come to our resorts. So I think the pass is becoming more and more of a value opportunity for people as they have more and more choices in terms of where to go, so the point about having Park City is certainly true, but I also think we’ve been investing now for many years on building our own sophistication and analytic capability to target people, understand what their motivators are and tailor our messaging through our marketing efforts to make sure that we can continue to drive increases. And on the stock piece, I would say no, there is definitely not a minimum. I would say it remains an opportunistic program with again a little bit more of an aggressive stance, but an opportunistic program with yes no commitment on any given quarter what we will do, but I’d say a broad commitment that we’re constantly looking at return of capital is being an important part of what we do with our cash.
Afua Ahwoi: Perfect. Thank you.
Robert Katz: Thanks.
Operator: We will take our next question from Matthew Brooks with Macquarie Capital, USA.
Matthew Brooks: Good morning guys. I just wanted to ask a question about the guidance. I think on the last call you said that the normalized weather assumption when the guidance was going some ways words better weather at Utah and Tahoe but not all the way. I just wondered if you could remind at that point given you said that you’re off to sort of the best start to the year in a number of years and related to that, do you think you'll capture any market share from sort of few resorts in the Northeast which could have a relatively bad season given the El Nino?
Robert Katz: Yes, what I would say is that our guidance is set up based on what we kind of call normalized weather conditions. And I would say that I think Tahoe to-date has certainly been a bit better than probably what we would have expected in terms of the weather, but again still very early. Colorado and Utah I would say are very much in line. I don’t think maybe again a little bit better maybe in Colorado than I don’t know normal early season. I would say obviously with kind of cold temperatures and weather, but I would say the impact on Colorado is kind of a nice boost but not necessarily the kind of impact obviously that we can have in Tahoe. What I would say in all that those obviously still very early, so hard to make any kind of final judgments on the season, the impact, the weather could shift very quickly. We haven’t we are still a few weeks away from the Christmas Holidays, so I think obviously if the current trends continue throughout the year that’s a positive piece for us, but I think we’re still early.
Matthew Brooks: Okay. And obviously you get a lot of attention with international given the strong U.S. dollar, but you mentioned auto markets that your segment in terms of analysis in the marketing, can you tell us anything about what domestic markets are very strong for you this year and that are offsetting those international weaknesses?
Robert Katz: Yes, I would say obviously Colorado in particular is the strong market, continues to be a strong market given the economy here, Utah, the Bay Area and California so that obviously is the big help right there but then I would say we are seeing pretty broad based strength from all of our major destinations across the United States, I would say even places like Los Angeles, like Seattle which are not typically our strongest markets in terms of size, we’re seeing real strength there too which we absolutely attribute to Park City and to being able to offer that as part of our season pass effort. But I would say right now I think the domestic, the U.S. economy on the domestic side is very strong, the upper income portion of that remained strong and I think our connection obviously to Australia and the strength that we’ve always had in Mexico helped a bit buffer or buffer to the negative trends that we’re seeing in some of the other markets, but again we ultimately do not see it being material to offsetting the guidance that we’ve laid out.
Matthew Brooks: Okay and just one final question perhaps something about Australia, can I draw you out any more to say anything about what you’re looking at that is telling you that Australia is looking like it’s going to be strong and now that you've sort of run the operations a little while any investments that you’re looking at to sort of upgrade the facilities through invest etc?
Robert Katz: Yes, again back to Australia in terms of what I would say is we feel like Australia is now the indicator our positioning it as the strongest International market whether that will turn to be kind of strong overall compared to our destination markets, it’s too early to say that, but I would – and I think it certainly has the currency headwinds just like every other market does but we’re seeing and I would say that whether that’s season pass sales, whether that’s bookings, whether that’s our dialogue directly with wholesalers and other properties. Its all of those things combined give us kind of a window on how we think the market is doing and in terms of investment fee we will absolutely, we’ll be, setting up for a number of investments for this year to ensure that we can maintain the experience at a very high level. I think there are some longer term opportunities that Perisher that were still looking at and studying, working with our local management team there to understand, working with government there and we'll continue to keep our eye on that.
Matthew Brooks: Okay, thank you very much.
Robert Katz: Thank you.
Operator: We have no further questions in queue. I would now like to turn the call back over to Rob Katz for any additional or closing remarks.
Robert Katz: Thank you, operator. This concludes our fiscal first quarter 2016 earnings call. Thanks to everyone who joined us on the conference call today. Please feel free to contact myself or Michael directly should you have any further questions. Thank you for your time this morning and good-bye.